Operator: Greetings and welcome to Montrose Environmental Group Inc., Fourth Quarter and Full Year 2020 Conference Call. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation.  As a reminder this conference is being recorded. I would now like to turn the conference over to your host Rodney Nacier, Investor Relations.
Rodney Nacier: Thank you, Omar. Welcome to our four quarter 2020 earnings call. Joining me on the call are Vijay Manthripragada, our President and Chief Executive Officer; and Allan Dicks, Chief Financial Officer. During our discussion today, we will be referring to our earnings presentation, which is available on the Investor section of our website. Our earnings release is also available on the website.
Vijay Manthripragada: Thank you, Rodney, and welcome to all of you joining us today. For those of you that have the presentation, I will speak generally to pages 4 through 11 to highlight key themes, which effectively show that since our Q3 earnings call in November, Montrose continues to do really well, and that we ended 2020 on a high note. But before I speak to the presentation, I want to take this opportunity to acknowledge and thank our Montrose's colleagues around the world to whom these results in the long. 2020 presented some incredible challenges and equally compelling opportunities. And the collaboration I saw amongst our teams, the dedication they showed to our clients and the support we were able to provide to our communities are foundational to these terrific results, and the continued creation of shareholder value, so to all of you from Montrose listening today on behalf of all of us, thank you. So in terms of the presentation, I'm going to focus my comments on a few themes; first, the exceptional position of our business within the broader environmental industry; second, the strength of our performance in 2020; third, the exciting catalysts and operational investments that drove and continue to drive results for our business; and lastly, our outlook for continued success in 2021.
Allan Dicks: Thanks Vijay. We are extremely pleased to have delivered solid fourth quarter and full year 2020 results as we completed our inaugural year as a public company. Our strong performance reflects the resiliency of our entire team, the focused execution of our growth strategy, and the in-demand nature of our environmental solutions. We produce records 2020 revenue and adjusted EBITDA, while expanding our margins in both the fourth quarter and full year. Moving to our fourth quarter performance on Slide 13, we continue to drive strong growth across our business during the COVID-19 pandemic. Our fourth quarter revenue increased 60% to 108.7 million, compared to the prior year quarter. Revenue growth was primarily driven by organic growth in our measurement and analysis segment and the acquisition of CTEH in April 2020, which is experienced favorable tailwinds given client demand for toxicology and pandemic response services. The ramp in certain work due to COVID has largely offset the impact of delayed projects in other areas of our business, particularly in the second half of the year. As we mentioned on prior calls, at the end of the first quarter 2020 primarily in response to the COVID-19 outbreak, we did decide to discontinue certain service lines. We completed that process early in the second quarter. The loss of revenues from these discontinued service lines partially offset our revenue growth. Excluding revenue from discontinued service line, revenue increased 67% in the fourth quarter. Fourth quarter adjusted EBITDA grew 74% to 18.3 million and adjusted EBITDA margin expanded by 130 basis points to 16.8%. This improvement was primarily driven by higher revenues and favorable business mix. Now turning to our full year 2020 performance on Slide 14, full year 2020 revenues were up 40% to 328.2 million versus 233.9 million in 2019. Excluding revenue from discontinued service lines, revenues increased 51% in 2020. The primary drivers of this increase with acquisitions, most notably our acquisition of CTEH as well as organic growth. Organic growth was achieved despite a patchwork of COVID-related project delays due to shelter-in-place orders and travel restrictions throughout 2020. Full year 2020 adjusted EBITDA increased 74% compared to the prior to 254.5 million with adjusted EBITDA margin of 320 basis points to 16.6%. Adjusted EBITDA and adjusted EBITDA margin in 2020 benefited from higher revenue, favorable business mix, the exit of discontinued service lines and temporary cost-containment measures taken in response to COVID-19. Looking at our three business segments, each of these segments are synergistic and together represent a vertically integrated approach to delivering solutions to clients. During 2020, we grew revenues in all three segments, when compared to 2019. In our assessment permitting and response segment, we experienced a moving full-fold increase in revenue and we more than tripled segment adjusted EBITDA. Revenue grew to $98.5 million and adjusted EBITDA improved to $24.2 million. These increases were driven by organic growth as well as the acquisition of CTEH in April of 2020. Since April, CTEH has also seen an acceleration in demand to provide pandemic response related services. In our measurement and analysis segment, 2020 revenue increased 12% to $151.6 million primarily attributable to organic growth and acquisitions. The significant adjusted EBITDA margin improvements to 26% was attributable to higher revenues and favorable shifts and business mix as well as the temporary cost mitigation initiatives taken in response to COVID-19. Finally in our remediation and reuse segment, revenues increased year-over-year to $78.2 million, reflecting organic improvement and the contribution of acquisitions. The benefit of acquisitions in this segment was more than offset by the impact from discontinued service lines. The decline in remediation and reuse adjusted EBITDA margin primarily reflects investments to support significant anticipated growth and geographic expansion within this segment. Moving to capital structure on Slide 15, cash from operating activities was $1.9 million for the full year of 2020. As a reminder, cash flow naturally has a number of moving pieces related to our initial public offering in July, our secondary offering in November and our first year as a public company. Cash flow from operating activities included non-capitalizable IPO and secondary offering related payments, totaling $7.7 million. In addition, as a result of the strong level of performance of our prior acquisitions, 2020 operating cash flow includes the payments of acquisition related earn outs of $6.4 million. Excluding these non-recurring IPO and acquisition related payments, cash flow from operating activities decreased by $1.8 million compared to 2019. This decline reflects a net increase in working capital, driven by significant fourth quarter revenue growth in our assessment permitting and response segment, as well as an increase in interest paid, as a result of higher interest rates on a unitranche credit facility. We expect working capital to normalize in the first half of 2021, given the revenue spike in December of 2020 and expect to refinance our credit facilities to lower interest rates in the second quarter of 2021. We continue to expect a long-term conversion of adjusted and operating cash flow at a rate in excess of 50%. This incorporates our expectation that, as a growing company, we will continue to be very focused on balancing the generation of cash, and investments to integrate acquisitions investments in technology and in R&D. As of December 31, 2020, we had cash of $34.4 million and total debt of $175.9 million. Our net leverage ratio at December 31, 2020, as reported under our credit facilities was 2.7 times. This includes the impact of contingent earn-out consideration of $4.4 million related to estimated CTEH earnings in 2021. Excluding this contingent consideration, which may vary due to the environmental emergency response nature of CTEH's work, our leverage ratio was 2.6 times and within our longest term target average range of between 2.5 times and 3.5 times. Our Series A preferred stock has low maturity date, and we have the option to redeem the preferred shares at any time for cash subject to make whole payments in the first three years. We view this preferred equity instrument is favorable for the value creation potential in the business given us flexible dynamic. If you include the $182 million balance from the Series A2 equity and our market cap, our total equity capitalization stands at approximately 1.2 billion. Moving to our 2021 outlook on Slide 16, with our expectation for continued strong performance in 2021, today, we are introducing our full year 2021 growth outlook. We expect 2021 adjusted EBITDA to be in the range of 61 million to 67 million. On this dollar range, we expect full year 2021 adjusted EBITDA margin to be in the range of 16% to 17% relatively consistent with 2020. On that point, our increase in adjusted EBITDA margin of over 300 basis points for 2020 was well ahead of the previously communicated 100 to 150 basis point average annual margin expansion that we expect to achieve over the next several years. This is primarily due to the temporary cost mitigation measures that we have taken to sponsor the pandemic, which are not sustainable, no part of our long-term growth plan as a growth orientated company. Our current outlook is based on a combination of mid-to high-single digit organic growth, plus the contribution of MSE and a full year of CTEH. I mentioned this as upside does not include future acquisitions, which represent upside to our forecast. Taking that into account, our outlook is aligned with our unchanged expectations for annual revenue growth in excess of 20% per year for the foreseeable future. As we mentioned last quarter demand for our services remains resilient, though we have continued to experience uncertainty related to the COVID-19 pandemic. Strong 2020 performance in CTEH was in part attributable to evolving consumer needs in reaction to the pandemic and lockdown. This more than offset delayed projects in other parts of our business reflecting the diverse service offerings of our platform. Into the first quarter, we already off to a strong start to 2021 led by CTEH. The impact of the pandemic on our business and people remains a key focus. As the economy rolls back and project resume in other parts of our business, we expect a more balanced contribution to growth in revenue and earnings from any of our service lines. That said, our 2021 outlook does already account for some carryover of project disruptions as well as the reversal of the cost mitigation measures put in place during 2020. As a result, we are confident in our ability to deliver on our full year growth. I'll turn the call back to Vijay for closing remarks.
Vijay Manthripragada: Thanks, Alan, and thank you all again for joining us today. We are really excited to report a record for quarter in 2020 that capped off our debut year as a public company and I could not be more proud of my team. We begin this year 2021 on a very strong footing, and we remain confident in our goal of becoming the leading environmental solutions brand. We look forward to the opportunities ahead and we sincerely appreciate all of your interest in Montrose. So with that, operator, we're ready to open the line for Q&A.
Operator: Thank you. At this time, we will be conducting a question-and-answer session.  And our first question comes from Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: The first question I have is, and I know it's not always useful to look at the business on a quarterly basis. But I'm just struck by the sequential increase in the assessment, permitting and response of Q3 to Q4, and I'm trying to get a sense of how much of a contributor was CTEH in that increase? And if you talk about a strong start in Q1, you're attributing it to, in part two CTEH. And so I'm wondering, if that is again more COVID-related, or if you're also seeing, have seen some activity, for instance, as a result of what happened in the Gulf with the weather issues and the potential water contamination in Texas? And I have a follow-up.
Vijay Manthripragada: Hi, Jim. Yes, I know, it's a great question and thank you for that. And this is, and you're exactly right, that's precisely why I always say you got to look at this annually. Let's just step back for a second, our historically and you'll see this in our H1 commentary, when we spoke with you back in July, Jim. The business tended to see a slightly heavier Q2 and Q3 and a slightly lighter Q1 and Q4. That was a function of just weather patterns and the impact that it had on our testing business. Last year through COVID, that trend line largely dissipated. So, we saw the impact of COVID really hit us in March, and so kind of in the back half of Q1 and Q2, which unwound in Q3 and Q4. So, the sequential increase is really a function of out of the pandemic related impacts and not abroad timeline for Montrose. So does that make sense? Does that answer your first question?
Jim Ricchiuti: It does, Vijay. Thank you.
Vijay Manthripragada: Okay. CTEH was a significant contributor in Q4. And but their business again, if you think about what they are, it's an environmental emergency response business. And so, as I said to you before, over the course of a year, the volume from CTEH is rather predictable. And we've kind of characterized that for you as kind of 60 million to 80 million per year run rate. But if there's an incident, and last year that incident was COVID-19, you can certainly see some fluctuation off of that more. And so, we saw very strong kind of back half of the year for them and they're still supporting many of our clients. And so we expect some of that will continue into Q1, and Q2. But you're also absolutely correct. Yes, the hurricanes and floods last year drove demand for their services. And this storm Uri this year, the Texas freeze that impacted the Gulf certainly continued to drive demand. And so this goes back to our broader thesis, Jim, which is that these climate change related events, these events related to accidents due to aging infrastructure, we expect that's going to continue to drive demand. And so that's going to drive kind of the organic growth in that response business on an annualized basis year-on-year. But this COVID-related surge that we saw in the back half in early part of this year, we're likely -- obviously, we hope and pray that doesn't continue into perpetuity.
Jim Ricchiuti: The follow-up question is just with respect to the market share, expanded market share that you alluded to in the release and presentation. And I'm wondering, if you might be able to provide a little bit more color on that in terms of maybe how you're measuring the share gains, what areas of the business, and maybe the factors that are leading to that?
Vijay Manthripragada: Yes. So, the measurement of share gain is really just more of a mathematical implication, Jim. So, if the market can track the 2%, according to third-party research and we grew 17% combined with CTEH, 4% excluding CTEH, and it's not really a function of price increases, which we didn't really see all that much right, the implication is that we continue to take share from our competitors. And anecdotally, we saw some of that with our clients, and we were able to see where we were getting wins from others, for existing services. And that's why we've made that comment, Jim. Does that answer your question in terms of that?
Jim Ricchiuti: It does. That sounds fairly simple, and in the specific areas maybe that you see the gains coming from.
Vijay Manthripragada: So, across our segments, we saw some great momentum. So, in our measurement and analysis segment, we saw some really nice gains, and Alan alluded to that in his commentary around our organic growth performance there. We saw some really nice activity in our renewable energy, our ag waste to biogas business, and then of course on our emergency response business. So kind of across our segments, Jim, we saw some nice moments but then of course, any of those segments there were also pockets of the business that saw some headwinds due to COVID that were mostly related to logistics and travel restrictions. So, it was a little bit of a put and take, but that's what we were talking about, and obviously the aggregate result is quite a positive one.
Operator: Our next question is from Tim Mulrooney with William Blair. Please proceed.
Tim Mulrooney: Good afternoon, Alan and Vijay. A couple of questions for you. The first one just on organic growth, I mean, you gave guidance for 2021, all of which is very helpful and appreciated. It looks like you're expecting mid to high single-digit organic revenue growth for the full year. Can you talk about how you're thinking about how that breaks down between the three different segments? Which one you'd expect to be towards the higher end of that range, or maybe a little below that range, kind of based on where you stand today and based on the comments that you just provided between you and Jim.
Vijay Manthripragada: Yes. Let me give you some high-level color, Tim, we don't want to get into the specifics by segments. As we did said so many in response segment, which is predominantly CTEH right now should continue to have a strong first half of the year. And so, the way we measure organic growth from members, it's only once we've held an acquisition for 12 months. So, they're really only going to count in the second quarter but still we were expecting a strong year from them again led by the first half. The rest of that business, which is our legacy consulting business, if you will, was impacted pretty severely by COVID. And so, we would expect that, and we really started to see this that that business will perform well, particularly in the backlog of the year. Now our measurement and analysis group on the top-line basis, we would expect to continue to see a positive growth. They were also particular field-based teams were also impacted by COVID. We will likely see revenue again towards the back half of the year to accelerate. Now from a margin perspective, it's different. We talked about that segment trading down to 20% of a time. They ran at 26% for 2020. And then finally, on the remediation, we use that saying that we should see positive organic growth in 2020 is expected to continue to see positive momentum. That is we talked about before the segment that has the largest addressable market, as well, before treatment, water treatment, technology resides. So, there's a lot of opportunities there, the question, again, is how quickly that segment recovers from COVID. It was also impacted, but we expect again in the backlog for the year, we're going to start to see great momentum out of that group.
Allan Dicks: I'll answer that. Let me -- I'll tell you about the macro factors driving our excitement around the organic opportunities. It is our expectation that certainly this is speculative on our part, that the Biden administration's emphasis on greenhouse gases, methane emissions is going to help drive our testing business forward. So we continue to see really attractive organic opportunities there. The focus on carbon negative energy sources like the ones we create, we think we're going to continue to see momentum. We think the water treatment work is going to continue to see momentum so remediation reuse segments, we expect to see really nice growth in. And then on the assessment permitting and response segment, putting CTEH aside a lot of the activity right now that is anticipated around infrastructure spend, for example, right, and regulatory enforcement which certainly administrator Reagan's agency has started to take a more proactive stance on, all that just creates incremental opportunities for us. So even putting kind of the CTEH opportunities aside, you know, our views on that were bullish on them, kind of across segments. Those are examples of drivers of our business, that not only this year candidly into the next couple of years, we think create some unique opportunities. That's offset by our inability to predict exactly how and when this COVID overhang is going to begin to subside. We anticipated as I said earlier in the back half of this year. But that's the reason we're being a little cautious with not kind of materially increasing our outlook on the organic growth side. So, there's certainly some really nice opportunities, but we're still navigating the back half of this COVID pandemic.
Tim Mulrooney: Okay. I mean, that's a ton of color. That's exactly what I was looking for. So thank you guys for digging into that for me. I think that'll be helpful for everybody. My second question is on this large customer. You mentioned, your largest customer in 2020 was new. And, I'm sure you don't want to name the client. But I'd be really curious how this relationship develops. Were you targeting this customer prior to 2020? Or did they come to you? And how did they come to you? Was it through CTEH or was it COVID driven? Or was it through one of your traditional businesses and how that relationship evolved into more than 20 different projects throughout the year?
Vijay Manthripragada: Yes, Tim, we're saying we're not going to name the customer, but this is a customer that we had some early conversations with and this speaks to kind of our broader cross-selling efforts that have really been getting some nice traction. As you know, then we put salesforce in place and we've got a series of business development initiatives underway which we historically have not had. This customer kind of blossomed through kind of a multi touch point, relationship effort at Montrose and speaks to kind of the attractiveness of having kind of an integrated offering that meets, or I should say, scratches, multiple itches on the environmental side. So that's how it came to be. And the fact that we had a more robust offering, including but not limited to CTEH more on the permitting assessment side, more on the testing side, more on the remediation and reuse side. All of that kind of factored in, and I suspect will continue to really crude oil of benefit over the next couple of years. We hopefully will have more and more stories like this, as we begin to unearth these opportunities. As a simple example, Tim, if you're struggling with measuring and mitigating greenhouse gases, it's not a singular thing that you need. You almost need kind of a series of experts helping you assess the regulatory landscape, the engineering optimization part of it, the mitigation measurement part of it. So it allows us to kind of hit that hit the same problem from multiple angles and that's a unique offering for Montrose.
Operator: And our next question is from Andrew Obin with Bank of America.
Andrew Obin: Just a question, couple of questions. So is there anything in the recently passed 1.9 trillion COVID release deal or even unless I guess you guys highlighted the green infrastructure bill? But what we're just covering there, a lot of companies are highlighting some benefits from this COVID relief bill, which we frankly did not expect whether any particular benefits that you guys have discovered after sort of talking to your customers over? And how much of it is in your guidance?
Vijay Manthripragada: None of its really in our guidance and there we haven't -- there's nothing specific in that, that we think is going to change our trajectory in one way or the other. So, we've largely kept it relatively consistent, independent of that, of the stimulus package.
Andrew Obin: And then, can you just give us an update to a geographic expansion of Montrose to PFAS pilot projects? Have you been pulled into any other regions besides Europe and Australia? And what has the feedback been from your customers? Do you have new administration? Do you have the change of the senate controls? How do you see that sort of playing out in 2021?
Vijay Manthripragada: So, the new administration and change kind of controls, that's a U.S. specific, set of opportunities for us. And that we believe is likely going to accrue to our benefit again which is the market benefits. You've heard some of our, some of the other participants in the PFAS market talk to this and they'd characterize this market in the tens of millions and some of them have said hundreds of billions. Certainly, we expect we've seen increased activity around setting potential limits, there's been early discussions though it's unclear exactly which way. The feds will go around the inclusion of this into the circular regulations. The characterization of a larger number of compounds as potentially toxic, all of that Andrew benefits not only on the us on the remediation side, but also on as we've talked about before, on our advisory and on our testing side, right. Because you have to continue to measure and then validate that you would need double what you said you would do. So, its net accretive for us here, our pilots in Europe are progressing very nicely, and we're encouraged by them. It is still too early to say anything definitive, but they are continuing to pace, and there's more of them now. And then in Australia, it's kind of par for the course. COVID certainly had a disproportionate impact on our Australian territories. Travel and logistics was very challenged there, but we're coming out on the backend of that and demand opportunities and the prospect looked very promising and we've had some really nice wins of late, which we're very excited about. And so, we expect to continue sharing more of that once it's something we can talk about and finished.
Andrew Obin: Thanks a lot. Sounds like you have a lot of exciting things for '21, I'll let somebody else asks the question. Thanks.
Vijay Manthripragada: Thanks, Andrew.
Operator:  And our next question comes from Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: Yes, just another question on the regulatory environment and the potential that it could be a nice tailwind for you, which is, I think is certainly appears to be the case. But I'm wondering, as you think about your M&A pipeline, which you say is pretty active. Are there are some of the folks that you're talking to looking at this environment? And is that causing them either to potentially pause a little bit to see how their business is going to be impacted by this? And I guess what I'm asking is, are you seeing changes in valuation expectations?
Vijay Manthripragada: Well, we're not, Jim, not at this point. We're encouraged by that. We think the rationale for joining Montrose is just as compelling. We are uniquely focused on the environment and that a lot of these owners that have dedicated their careers to helping the environment, they find that compelling the way we approach it in terms of cash stock mix and our issuance of stock options to retain employees is very compelling to any of these folks. And I think our being public Jim candidly has provided a platform that they can see, right, they can see how their folks could benefit the opportunities their folks could have and how they with Montrose can potentially present a much stronger offering into the market. You saw us do it with MSC that was blocking and tackling for us. It's an exceptional team. We're really excited about them. They've already been incredibly additive to us and that was right in the middle of the fairway for us in terms of our historical multiples. And what we currently expect and anticipate is no different from that. We continue to believe that, these will be accretive from a personnel perspective, from a financial perspective and strategically of course, as well. Short answer is no.
Jim Ricchiuti: Okay. Good to hear. Is there any color you can provide on areas of the business that has the most, would have the most interest for you in terms of inorganic over '21?
Vijay Manthripragada: Jim, I mean M&A, as much as we would love to control all the variables, as often just as controlled by the broader dynamics and the seller. So, we still remain quite compelled by some of the opportunities in the testing realm, largely because now as enforcement starts to pick up, we're seeing some really nice tailwinds there for our teams and there's some nice bolt-on opportunities. And then on the assessment, permitting and response to the advisory side, if you think about the assessments related to doing things like infrastructure investments, the assessments related to ecological impacts. That type of effort, that type of work is very strategically additive to us. And it kind of puts us top of the funnel again, with a lot of these customer relationships. And so we're going to likely lean pretty heavily in those two areas from an M&A perspective. Within the remediation reuse segment, Jim, on our biogas work and on our water treatment work, that's really more about our IP differentiation and our organic opportunities. And so that's going to be more of an execution play for us, we likely won't be as active visibly the other two segments in the near-term in that area.
Operator: And our next question is from Noelle Dilts with Stifel.
Noelle Dilts: I just wanted to kind of a lot of my questions have been asked. A little bit adjacent to some of what you talked about in the past. But as we've looked at PFAS, it looks like a lot of exposure actually comes from indoor environments. And I'm just curious, if that's something you guys have kind of looked at, it seems like it would be in your wheelhouse. And if that kind of might be an area you might look to expand into as we as we look forward given, what you're -- given your strength right now if you see through too?
Vijay Manthripragada: Yes, the indoor environments is one we're quite familiar with, they're all here. We've been a little bit more cautious there. There's a fair degree of competitive dynamic there. And there's also, from a regulatory perspective even more uncertainty than in areas like drinking water and water sources, for example. And so we're obviously seeing very, very close to it. And it's an area we could move into. And it's one that would naturally fit. But it's not in our immediate term horizon, just because it feels like what we have to off with what we have today is already quite substantial. And we want to make sure we execute on that well.
Noelle Dilts: And then related to Andrew's question, could you kind of just speak to, how you're thinking about the PFAS remediation efforts in the internationally versus the U.S. and sort of, when you look at your opportunity set how you think about the timeframe for some of those opportunities coming through, say, more in Australia or spending more in Europe versus the U.S. side of things?
Vijay Manthripragada: In all of those geographies, the regulations are evolving rapidly, Noelle. And so, I think what's, and you've heard, and you cover the space so you know this well, right, others say often anybody who can spell PFAS says, they're an expert. And so they have the best answer right. And we certainly shuffle, we agree with that sentiment. It's just it's a hot space right now. But it you step back and think about what we have, we have a proprietary IPs, IP that's been proven in the field, and has certainly gotten a lot of market traction. But we're not all things to all people. So we're kind of playing, as you know, in areas where there's high concentrations, multiple compounds, short chain long chain, the desire for more environmental sustainability. So there's a certain part of the market where we're very clickable, where we get a much nicer win rate. And that allows us to command higher prices and higher margins. So the way I would answer your question, I was to say, we continue to emphasize that we're really a solution provider hear that's very complimentary to other either consultants engineering firms or advisors to these companies or governments. In the EU, I suspect it's mostly going to be federally driven, or not federally, but driven by the EU, the EFSA has put out a new commentary on their belief on what humans can ingest. We believe that's going to spill over into the environmental regulation side. And that's going to create a lot of demand, we're already seeing some of that and so it's early stages there. We think here in the U.S., the regulatory regime is picking up quite materially. The municipal markets always been large, not one that we particularly focus on, but the Federal Government and the Department of Defense in particular is an area that we were actively involved with. The private sector here in the U.S. is one that we're very actively involved with. And in Australia, it's again, primarily driven by the Department of Defense, and even their regulatory regime is evolving rapidly. And so kind of across the Board, we're seeing some pretty compelling opportunities, it's hard to predict exactly when regulations will be implemented and enforced, but the market momentum is already candidly there.
Noelle Dilts: And then, I know you've touched on this in the past as well today. But I was curious, when you look at your efforts to kind of really build your salesforce and kind of strengthen that side of your business. Where you would say, stand on that on that front today?
Vijay Manthripragada: So, when we went public, we said we wanted to do it. That was back in July, we committed to all of you that we would have our CRM implemented at the end of last year. We did that. And we're now kind of in the early phases of taking advantage of the fact that we have better visibility, and a team dedicated to it. And that applies not only on the sales side, Noelle, but also on the marketing side where brand awareness is increasing nicely. So, it's still early innings, probably bottom of the second, but well on its way.
Operator: Thank you, ladies and gentlemen. We have reached the end of the question-and-answer session. And now, I'd like to turn the call back over to Vijay Manthripragada for closing remarks. Thank you.
Vijay Manthripragada: Thank you, all again, we really appreciate your interest in Montrose. Thank you for the opportunity to spend time with you, and we look forward to speaking with you in the near future. Take care, everyone.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.